Operator: Welcome to the Vulcan Materials Company First Quarter Earnings Call. My name is Alicia, and I will be your conference call coordinator today. At this time, all participants have been placed in a listen-only mode to prevent any background noise. A question-and-answer session will follow the company's prepared remarks. And now, I would like to turn the call over to your host, Mr. Mark Warren, Director of Investor Relations for Vulcan Materials. Please go ahead, sir.
Mark D. Warren - Director-Investor Relations: Good morning, everyone, and thank you for your interest in Vulcan Materials Company. Joining me today for this call are Tom Hill, Chairman and CEO; and John McPherson, Executive Vice President and Chief Financial and Strategy Officer. To facilitate our discussion today, we have made available, during this webcast and on our website, supplemental information. Rather than walk through each slide, Tom and John will summarize the highlights of our quarterly results and outlook. We believe this approach will assist your analysis and will allow more time to respond to your questions. With that said, please be reminded that comments regarding the company's results and projections may include forward-looking statements, which are subject to risks and uncertainties, including general economic and business conditions, the timing and amount of federal, state and local funding for infrastructure, the highly competitive nature of construction materials industry, and other risks and uncertainties. These are described in detail in the company's SEC reports, including our earnings release and our most recent Annual Report on Form 10-K. In addition, during this call, management will refer to certain non-GAAP financial measures. You will find a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures and other related information in our earnings release and at the end of this presentation. Now, I'd like to turn the call over to Vulcan's Chairman and Chief Executive Officer, Tom Hill. Tom?
J. Thomas Hill - Chairman, President & Chief Executive Officer: Thank you, Mark, and thank all of you for joining us for our first quarter earnings call. I hope you've had time to review our earnings release and the supplemental information posted earlier today on our website. As you saw reflected in our financial results, our teams really hit on all cylinders during the first quarter, particularly in our core aggregate segment. We met our customers' needs for higher volumes of material. We continue to migrate prices upward with an eye towards longer-term returns on capital. We leveraged fixed cost and lowered our unit cost of goods sold even after excluding the impact of lower diesel cost. And obviously, our margins and total profits for the quarter grew rapidly as a result. On a 21% gain in total freight-adjusted revenues for the company, our teams delivered 112% gain in total gross profit. It is certainly true that you can't extrapolate the full picture from a single quarter's results, but when you look at our results in the context of the last several quarters, you see very solid and improving fundamentals. Several things about this quarter really stand out in my mind, and I'd like to spend a little time discussing them with you. As a starting point, I want to emphasize that we continue to believe that the recovery in our markets still has a long way to go. Our business is in the midst of a long, gradual recovery in demand. It's not unusual in such recovery to experience periods of relatively faster and slower growth. And certainly, our first quarter saw a number of positive things come together all at once, but we are still in early stages of recovery for the construction economy. For example, to underscore a point, we entered 2016 in terms of per capita Aggregate demand relative to long-term averages, pretty close to where we were at the time of the 1982 recession. Having said that, clearly, the fundamentals of our business and our core aggregate focus strategy are very strong. This is, to our way of thinking, a recovery with real staying power. Of course, we will take 17% shipment growth whenever we can get it, but what impresses me about the quarter, and really the last 12-plus months, is a solid additional evidence of a sustained and sustainable recovery. It's supported by growth in all of our end-use market. With public demand just beginning to strengthen, it is taking hold in more of our key market and is leading to volume gains in more of our key facilities, and it is supported by longer-term fundamentals, including sustained gains in construction employment, state and local revenue health, and early signs of rising wages and income. We will see some ebbs and flows in the rate of demand recovery and our shipment growth, but that's to be expected, particularly quarter-to-quarter. The first quarter reinforces an important point. This recovery is real. It's broad based and our geographic breadth and positioning will serve us well as recovery moves forward. The first quarter provided a clear snapshot of this fact. Our overall shipments grew more than 15% even though our Texas and California businesses were flat to down. This is another indicator of a recovery with real staying power. A second point is that our local teams throughout the company are not only executing well, they're also adapting well to changing market conditions. They have performed well and have maintained operating discipline and focus while challenged by rapidly increasing volumes. Their focus and ability to adapt, their expertise in balancing product mix, pricing and greater efficiencies day-to-day and week-to-week bode well for our future. It can be easy to lose our focus when adjusting and adapting to rising customer demands for quantity and quality of product, all the while hiring new staff and adjusting shift structures. And finally, you have some profitability tailwinds at your back, such as lower diesel costs and higher product pricing. There could be a tendency to lose some operating discipline, but this hasn't happened. When demand has risen, our plant level teams have adjusted just as quickly to meet customer needs. They're highly focused on the operating details, critical to our long-term success, and are acting with discipline to ensure peak operating efficiencies. Our sales teams have also responded effectively to ensure we're serving each market segment well, and our sales and operating teams have stayed coordinated in balancing production and demand. We're driving earnings while helping our customers grow. We're going to face some operating challenges as the recovery continues and as we grow. That's just the nature of operating more than 340 facilities across many states. But I take an extra measure of confidence from how well our teams have responded over the last two quarters. Finally, a third point that strikes me as I reflect on the quarter and trends in our business, that's the payoff from our aggregates focus and from our commitment to continuous, compounding improvement in all aspects of our business. We brought our division presidents, our senior line of leaders from around the country together recently. And one of the things we discussed was the importance of keeping our energy which is electric. I can tell you right now that our people remain driven hungry for growth and improved performance. Our people, many of whom have 15, 20, even 30-plus years in the business, know that we are a long way from more normal demand and the corresponding profitability in our business. We live this every day with many plants still running part-time and many crews still without full-time work. Our people are balancing immediate customer needs with the maintenance and investment required to serve the growth that is coming. So, our job is to keep tapping into that pride, that sense of ownership and competitive spirit in order to keep getting better day-in and day-out. And certainly, our shareholders benefit for this emphasis on continuous, compounding improvement. As you've seen, we continue to expand our margins faster than pricing alone. And that improvement drives better returns on capital and allows for financially sound reinvestment. Since recovery began in the second half of 2013, our gross profit per ton in our Aggregates segment has improved $2, or 78% on a trailing 12-month basis. The drivers of this improvement are many and to some may seem dull, but the impact on our lasting franchise value is anything but dull. Having shared these observations, I'll now hand it over to John for some brief commentary regarding our outlook. John?
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Thanks, Tom, and good morning, everyone. I'll start with the headline which was also noted in our release. Our full-year 2016 guidance for adjusted EBITDA remains unchanged at $1 billion to $1.1 billion. That said, we entered the second quarter tracking toward the high end of that range. Now, looking at our first quarter results and at our momentum over the last few quarters, as well as listening to the comments Tom just shared, some of you may ask why are we not raising guidance at this time. Well, we'd like to be clear one more time that it's not because we lack confidence in the business' long-term fundamentals. If anything, that confidence has risen. And that's confidence in a recovery with multiple end-use segments and geographic drivers, and a constructive pricing climate allowing for more fair and adequate returns on capital as we move forward, and in our internal ability to execute and to adapt to changing market conditions, nor do we see any imminent threats that we're just failing to mention. Simply put, it's early, and we need to take some care not to over-interpret any single quarter's results. We caution against it. As we've said frequently before, we encourage investors to also focus on longer-term trends. We believe that help separate the signal from the noise, if you will. And for this reason, you see us incorporate trailing 12-month figures and other longer-term trend information into our release and supporting materials. With those caution shared, let me offer a few more comments regarding our current outlook for the balance of the year. We currently expect same-store aggregate shipments to be up 8% to 9% for fiscal year 2016 over fiscal year 2015. This compares to our early February expectation of about 7%. Certainly, our first quarter shipments evidenced underlying strength in demand even after adjusting for weather and other favorable factors. Publicly funded construction activity has shown some year-over-year strength, although the effects of the Federal FAST Act and recent state and local funding initiatives have for the most part yet to flow through the system. And some of our end customers appear to be adding some capacity, albeit prudently and gradually. Our updated same-store shipment growth expectation is roughly in line with the rate seen over the trailing-12 months. Again, we expect that growth rates will fluctuate month-to-month and quarter-to-quarter as the recovery moves forward. That has been the pattern of this recovery and of past recoveries. So we're also seeing a recovery, although it has a good ways to go, that continues to see more geographic markets and more end-use segments participate fully. With respect to aggregates pricing, we continue to project year-over-year growth in freight-adjusted average selling prices of approximately 7%. First quarter prices showed approximately 2% sequential improvement over fourth quarter pricing. Price increases that took effect in January and as of April 1 were generally well accepted by the marketplace and in line with our beginning-of-year expectations. Aggregate unit margins should continue to expand faster than pricing, although the pace of that growth may vary quarter-to-quarter. As you saw in the first quarter, we're beginning to see some very good operating leverage as we leverage fixed cost to sales. And our overall cost performance of late, has benefited from lower diesel prices. Of course, those costs may rise as the year moves forward with some lag in corresponding product pricing. We continue to expect year-on-year gross profit growth in our Asphalt, Concrete and Calcium segments of approximately 20%, collectively. Our local leaders continue to manage material margins in those businesses very well, although they may see some downward pressure from currently strong levels as the year moves forward. SAG costs were elevated in the first quarter, primarily due to incentive compensation-related accruals tied to our financial and stock price performance. We currently expect full-year SAG cost to remain roughly in line with our February guidance, and we will continue to leverage SAG expenses to revenues. Absent the effects of performance-based compensation and certain investments in our sales capabilities, overhead expenses have grown at an approximately 3% rate since 2013. Our target for core capital expenditure investments remains at $275 million for the year, although we may elect to pull forward some future spending if justified by compelling sourcing opportunities, for example, lower heavy equipment costs resulting from pressures across the global mining sector. You'll see $108 million of PP&E investment reflected in our Q1 financials. A couple of comments. We typically work to frontload our spending on heavy mobile equipment in part so that we can see the benefits of associated operating efficiencies during the heavy construction season. And the PP&E spending figures and the financials also includes certain internal growth capital investments. For example, ships to serve our Yucatan operation, development of new quarry site, and development of new distribution facilities such as the railyard we just opened in Savannah, Georgia. And including these internal growth investments, our total cash outlay for the year could be approximately $400 million. Vulcan's financial strength and flexibility allow for a balance of smart re-investment, pursuit of acquisition-led growth opportunities, and the ongoing return of capital to shareholders. Our overall capital structure and capital allocation priorities remain unchanged. During the first quarter, both S&P and Fitch raised our credit ratings to investment grade status. During Q1, we returned approximately $50 million to shareholders via dividends and share repurchases. We repurchased 257,000 shares during the quarter at an average purchase price of approximately $103. I'll conclude my remarks by noting that our Q1 results represent another solid step toward our longer-term goals for the company's profitability when market demand recovers to long-term, normalized levels. Inside of Vulcan, we very much keep our eye on those longer-term goals. We have a lot of growth and a lot of work ahead of us. But the continuous, compounding improvements that Tom referred to have us well on track and well-prepared for the opportunities and challenges that will inevitably arise over the years to come. Tom, back over to you.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Thank you, John. I'd like to once again thank our people, many of whom listen to these calls, for their hard work and dedication. I congratulate you for accepting the challenge of finishing 2015 strong and then repeating that performance to kick off 2016. For those of you in the investment community, I'd like to assure you the response to these strong results is to sharpen our focus to control what we can control and stay committed to getting a little better every day. In the course of doing this, I want to emphasize that we remain very committed to pursuing strategic M&A opportunities as they arise, further strengthening our asset portfolio in high growth markets across America. We take confidence in what we've accomplished thus far in the recovery. And we have many opportunities ahead of us, but nobody is letting up. Taking just the basic measure of EBITDA, for example, while we're excited about our progress, we know that we still have a long way to go. And I can assure you that the Vulcan team is determined to reach our goals. Thank you again for your interest in Vulcan Materials. And now, if the operator will give the required instructions, we'll be happy to respond to your questions.
Operator: Thank you, sir. We'll go first to Jerry Revich of Goldman Sachs.
Jerry Revich - Goldman Sachs & Co.: Hi. Good morning, everyone.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Hey, Jerry.
Jerry Revich - Goldman Sachs & Co.: Gentlemen, I'm wondering if you can comment about early indications of pricing cadence for April. Last year, you were able to push pricing sequentially over the course of the year, and you had a 3% increase sequentially 2Q versus 1Q. I'm wondering how is this year shaping out. Do you think you'll be able to push pricing over the course of this year once again?
J. Thomas Hill - Chairman, President & Chief Executive Officer: Yes. As you look at the first quarter, I think this was a really good start to pricing. It was pretty consistent how we thought pricing would be accepted throughout our markets and with our plan. Overall, the climate for pricing remains very healthy. I think the environment is good throughout the construction industry. In fact, we would see some pockets of tight supply. As the year goes on, we're going to comp over higher and higher prices with our success with that last year. But it's also about making profit in this business. It's about the balance of price mix and volume and that – and what's really important is that compounding effect of pricing. So I think, at this point, we're really pleased with our people's execution of their pricing plans, and we have really good confidence in our guys.
Jerry Revich - Goldman Sachs & Co.: Okay. And can you talk about, on the public construction side, what's the speed of DOT request for bids turning into actual project where – how is that timeline shaking out? I guess on paper the DOT budgets look really good this year, and I'm wondering if you're seeing that materializing in terms of projects moving forward on time.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Yeah. I think the DOTs are working really hard and really fast to turn their funding into projects, not the least of which is because of the political pressures that they feel. I think that if you look at the new – most of the new DOT spending that went into law the last – over the last year, you're not going to see much of that in 2017. I think they're plugging hard to get it out there, maybe a little – excuse me, you're not going to see much of that in 2016. Most of that will come in 2017. You may see a little bit at the end of 2016.
Jerry Revich - Goldman Sachs & Co.: But they're working hard to get it out...
J. Thomas Hill - Chairman, President & Chief Executive Officer: Yeah.
Jerry Revich - Goldman Sachs & Co.: ...if they can.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Very aggressive. And Jerry, back on pricing, just with an eye toward the longer term, to echo Tom's point, we do like the climate we see. Everything seems constructive, very much in line with recent experience. And importantly for us, we seem to be a bit ahead of track on both pricing and margin improvement as it relates to our longer-term goals that we outlined at our Investor Day. So we're pleased with the results we see and it's a compounding improvement again, so we're looking to get it better quarter-after-quarter, year-after-year.
Jerry Revich - Goldman Sachs & Co.: Okay. Thank you.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Thank you.
Operator: We'll go next to Kathryn Thompson of Thompson Research Group.
Kathryn Ingram Thompson - Thompson Research Group LLC: Hi. Thanks for taking my questions today. Just there's been obviously a great deal focus on the public end market, but I wanted to switch gears in terms of what you're seeing in the non-res end market because there's been some speculation that – could that market continue growth as we've seen. So, to that end, what are you seeing in terms of market demand trends from non-res projects, color on growth rate either by the quarter or for the trailing six months, and the types of projects you're seeing growth, growing best in your most important markets?
J. Thomas Hill - Chairman, President & Chief Executive Officer: Kathryn, we continuously grow with the non-res. We look at the leading indicators, but what we're seeing in our markets and backlogs, are our customers continues to be healthy. As far as growth rate is concerned, it may not be as fast as last year, but it's still growing. I think that one of the things you'll see here is that the res is growing at a very fast rate, and usually non-res, particularly the retail construction will follow that. So, on the ground, we continue to see the growth. We still have a number of the large projects that we'll ship this year on the coast, and we also see some pretty healthy manufacturing growth.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Kathryn, one thing we're seeing that's a bit of a shift or a transition is our local teams are seeing a lot of small commercial work that's really popping up, and it's difficult to predict. This kind of pops up and gets executed pretty quickly. But we're seeing that in a number of markets, including (24:27) Nashville. So we think that bodes well for the overall health, mix, sustainability of the recovery to see this uptick in small commercial work across many of our markets.
Kathryn Ingram Thompson - Thompson Research Group LLC: Great. Thank you. And then on Georgia, last quarter, volumes were up 20%-plus. Our checks have seen at least a similar, if not healthier growth rate there. What are you seeing in terms of just how that state performed? But also importantly, just revisiting the prior quarter question which is have you seen any pickup in increased funding from that state, just increased volumes from the funding that was passed last quarter?
J. Thomas Hill - Chairman, President & Chief Executive Officer: Georgia is really hitting on all cylinders, every market segment is growing. It's very healthy, housing, non-res. The highway is – actually, we've got a number of jobs that were backlog – very large jobs that were backlog prior to the funding. The state DOT has had a lot of pressure on it to turn out jobs in the new funding. So we may see some overlay work towards the end of the year in Georgia. But the real – I think, the real hit of the doubling of Georgia's funding will come in 2017 and 2018.
Kathryn Ingram Thompson - Thompson Research Group LLC: Okay. And final question on Texas. In the past conversations we've had, you had said that Texas is really the only market that's getting close to getting back to normal. Are there any other markets that are getting kind of back to that normal market? And then, also just for the benefit of folks on the call, if you could differentiate within Texas what markets are – or what you would view back to (26:11) normal and what percentage of your Texas revenues are in each of those markets? Thank you.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Yeah. First of all, Texas is the only market we have that's anywhere close to normal demand. As far as commenting on the market in Texas, it's – as you said, it's a big place with many different markets. Overall, it remains very healthy. Dallas and San Antonio are still very strong. We're seeing rural Texas gets stronger and that's a – we have a big presence there, particularly the asphalt presence and that's good for us because it's driven by the increases in highway funding and the damage that was done to the roads from all the oil explorations. Houston, we probably see some softening in res and non-res. It's a watch for us. The coastal work, we still have a lot of large work that we're shipping. There's a – when I say coastal, I mean from Brownsville to Beaumont. There's also – including Houston, there's also a number of jobs that are coming there. Now, timing of all that with big jobs, as always, you'll see ebbs and flows. But – so, overall, with the except for the watch on res and non-res, I'd tell you Texas markets are healthy.
Kathryn Ingram Thompson - Thompson Research Group LLC: Okay. Great. Thank you very much.
Operator: We'll go next to Trey Grooms of Stephens.
Trey H. Grooms - Stephens, Inc.: Hey. Good morning, gentlemen. Congrats on a great quarter.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Thank you. Good morning.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Thank you, Trey.
Trey H. Grooms - Stephens, Inc.: So, looking at – I guess kind of sticking with the geographic theme here, can you talk about how the geographic mix that you're seeing as well as product mix could be impacting your pricing and kind of your expectation there as we look through the balance of the year?
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Trey, for the quarter and as we look for the balance of the year, they are really in total, I'm going to call it, geographic and product or customer mix issues were kind of awash. So, there's really no big impact in that in our pricing for the quarter. Back on the geographic point and really the broadening of the recovery, we do see more of our, if you will, Atlantic Coast markets and Southeast markets, really beginning to participate in the recovery more and more fully across more end-use segments. How exactly that plays out in terms of price and product mix impact over the course of the year, we'll have to see. But that's not a big driver and the pricing or margin results you've seen of late.
Trey H. Grooms - Stephens, Inc.: Got you. Okay. And then on California being down, I mean, it sounded like in the fourth quarter that was a pretty good market for you, and then you noted seeing a slowdown there, and you pointed out some infrastructure work. Is that just timing? And then I know weather was obviously a factor there. Can you talk about kind of what the California market looks like when weather is cooperating for you guys?
J. Thomas Hill - Chairman, President & Chief Executive Officer: Sure. As we said, California was hit really hard in the first quarter with rain. We still see solid growth in demand in California. Short term, we could see some issues with Caltrans funding or timing of work. I think the good news for us about California is that market is very diverse. Our out (29:32) markets in California are very diverse. So this year on top of healthy residential market growth, we'll see a number of water projects, high-rise projects and airport projects start in 2016. So what I'd tell you is overall, long-term, we believe that the California will continue to experience sustainable growth.
Trey H. Grooms - Stephens, Inc.: Okay. It's helpful. And then the last one for me is, I think that you had – when you first gave your guidance on your 4Q call, you had expected volumes to be more kind of back-half weighted. But obviously, with the big volume quarter now you guys just put up, just trying to think about how that changes your expectation for the quarterly cadence or kind of how the volumes kind of shake out as we progress through the year. And then with that, the obvious question we've been getting, do you think there was any pull-forward from some of these stronger markets that benefited from weather, kind of pulling forward into 1Q from 2Q or some other period?
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Trey, it's John. I'll start and Tom could chime in. On the guidance, what we're trying to note is some of the El Nino-related weather effects that we did in fact see. And of course, you saw our – both our California businesses, and some of our Mountain West businesses, and a little bit Texas affected by that. In addition, as Tom just mentioned, we had a bit of a low on some large public construction work in California. But then, of course, despite those challenges on the volume side, we posted the results you saw today. It's difficult to say if we had a little bit of pull-forward or a little bit of, I'm going to call it, overflow from 2015 where, for example, in North Carolina and South Carolina, some fourth quarter shipments were delayed by the bad weather they had. But as best we can tell, however, you adjust for it, we are seeing some strengthening in demand across more geographies, across more end-use segments. And as a result, you've seen us move our expectation for the year from 7% growth to 8% to 9% growth, in line roughly with what we've experienced over the last 12 months. We're seeing a recovery that still has a ways to go, but has more and more engines driving it, if you will. I think...
Trey H. Grooms - Stephens, Inc.: Great. That's it for me. Thanks a lot, guys. Keep up the good work.
Operator: We'll go next to Garik Shmois of Longbow.
Garik S. Shmois - Longbow Research LLC: Hi. Thanks and congratulations. You called out in the press release that you're starting to win share on large projects. And I remember a year ago at the Analyst Day when you indicated that this is – part of the strategy is we work through the recovery. It seems like it's bearing fruit. I was wondering if you can maybe provide a little bit more context around where you are with your share gain platform as it pertain to perhaps the quarter and the last 12 months?
J. Thomas Hill - Chairman, President & Chief Executive Officer: Yeah. If you remember, I think what we said was we – I think we probably lost some share in the downturn, and it's always – as the markets come back, we'll recover that. As the recovery continues to mature, you'll see higher and higher shipments in the really high growth quarters in our markets, which is where we are. So, naturally, those jobs will be in our zone of natural advantage, so to speak, we're located. You'll also – we're also seeing more and more very, very large jobs, both commercial and highway work, and those also fall right in our wheelhouse. So it's just a natural recovery as the market returns.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: So, Garik, it's a little – it's a little hard for us to quantify that, especially kind of at this timeframe in the recovery. But as Tom said, I think it wouldn't surprise us if you're beginning to see some of the larger, more sophisticated producers recovering a little bit of share that they gave up in the downturn.
Garik S. Shmois - Longbow Research LLC: Okay. Thanks. Just want to switch to some of the cost buckets within aggregates. Specifically, is it possible to indicate what your diesel cost was in the quarter? And then also on repair and maintenance, it has been trending up over the last several quarters. It was up again in the first quarter. Can you provide an outlook on R&M costs as you move through the balance of the year? Is it still going to be elevated on a year-on-year basis, or will some of those costs start to plateau?
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Sure. I'll start, Garik, and then Tom will chime in, in just an attempt to give you some more color as best we can. Again, first thing we'd highlight that is if you look on a trailing 12-month basis, even excluding the positive effects of diesel, our overall unit cost of sales is essentially flat. So what's really behind that, if you take a – again, a trailing 12-month view is that our teams are doing a great job and they've been able to get some real operating leverage as volumes have increased, and that's offset some of the cost pressures that come from higher R&M that we've been talking about. So all in all, they're doing a great job. We've really seen that for the last two quarters. We hope to keep seeing it going forward. We'll keep an eye on it. But we're certainly very pleased to see that cost performance. In the quarter, our average diesel price is probably about $1.30, probably $5 million, $6 million benefit from that in total. But, again, what we'd underscore. And then our R&M in the quarter, as we said, it was still elevated. To give you a rough order of magnitude, the way we look at it, it's probably $0.08 up per ton. So that's an issue we manage tightly. We keep an eye on it. But in the context of our overall margin structure, it's not a defining characteristic. So again, we'll continue to manage it well. Our team is doing a great job. We're beginning to see some real operating leverage. And importantly, even excluding the benefits of diesel, we've been able to keep cost relatively flat.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Yeah. I'd tell you, I'm not surprised to see R&M cost at this point in the cycle and that may continue for a while. We're still playing catch-up on putting plants up, run the plants harder. We've got to remember we're still in the early stages of this, a lot has been on gradual recovery. The volumes are still – the rather recovery is still early. I think what – as John said, what I'm pleased to see is that over the last 12-plus months or five quarters, we're seeing a trend of the other cost and the operating efficiencies start to improve which tells me that we're leveraging the volume not only on fixed cost, but also on some of the variable cost and the operating efficiency. So, to John's point, I think our folks are doing a really good job adjusting and adapting to rapidly changing volumes. We have a long way to go. And I think that as this continues to mature in the recovery, we'll continue to see that fixed cost and variable cost volume leverage.
Garik S. Shmois - Longbow Research LLC: That's super helpful. Last question is just quickly on the asphalt volumes that declined in the quarter. Was that mainly driven by some of the commentary that you indicated that California had experienced over the last quarter?
J. Thomas Hill - Chairman, President & Chief Executive Officer: Yeah. California asphalt was hit hard. You just can't lay it obviously in the rain. I think we're pleased with our overall asphalt performance. Despite California being down, Texas volumes were up, driven by – a lot by both textile work and private markets. I think we – our folks have done a good job of managing a mix of price, cost of material margins and all the while serving our customers, and that's tough to do in the first quarter with icy weather. So even with California down, I think we're pleased with our performance in asphalt for sure.
Garik S. Shmois - Longbow Research LLC: Thanks, guys. Good luck.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Thank you.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Thanks, Garik.
Operator: We'll go next to James Armstrong of Vertical Research.
James H. Armstrong - Vertical Research Partners LLC: Good morning. Good start to the year. Congrats. First question I had is on the weather impact as we go into the second quarter. Obviously, the South has been really, really wet in places. Are you seeing any impact of that as we go into the second quarter, or have you been able to pretty much overcome that so far?
J. Thomas Hill - Chairman, President & Chief Executive Officer: Obviously, April has been wet. Anybody can look at the weather and tell that. But we would always tell you that we're going to – quarter-over-quarter or even month-over-month, yes, you're going to have weather, yes, you're going to have things that will affect you positively and negatively, but you can't judge it quarter-over-quarter or month-over-month. You really got to look at long term. So regardless of what the weather does, the demand is there, and if they don't – if it gets delayed, it's not going away. It's just postponed. And it always catches up and it always happens. But month-to-month, we're going to have periods of good weather and bad weather.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: And, James, we're not going to comment on April sales on this call. So, we'll talk about that in our next call.
James H. Armstrong - Vertical Research Partners LLC: Yeah. And then going to asphalt, margins were absolutely fantastic there in the quarter. Should those continue or should those come under a little bit of pressure as oil prices start to march up? And can you talk about the lag in asphalt and oil?
J. Thomas Hill - Chairman, President & Chief Executive Officer: Yeah. If you look at the – the quarter material margins are probably a little ahead of schedule – a little ahead of our expectations. We could see some pressures with – as – the changing liquid AC prices. Again, I think our folks are doing a really good job of managing that, and this is a balance of volume, price, cost of material margins. So – and there is a lag there, we're trying to predict what that is and how that is. Asphalt sometimes runs through the cadence of it and sometimes it doesn't, but we'll manage that as it comes along.
James H. Armstrong - Vertical Research Partners LLC: Okay. Thank you very much.
Operator: We'll go next to Adam Thalhimer of BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets: Hey. Good morning, guys. I'd also say congrats.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Thanks, Adam.
Adam R. Thalhimer - BB&T Capital Markets: I wanted to ask about firstly on M&A. Maybe some updated thoughts on that, you putting your investment grade rating to work.
J. Thomas Hill - Chairman, President & Chief Executive Officer: First of all, I'd tell you that we are in a – we are very pleased with the purchases we made over the last 18 months and how they performed, and they performed very well. The M&A market continues to be healthy. We continue to be – so, it's a huge focus for us. It's something that we pay a lot of attention to. We're very busy with it. Obviously, we can't talk about anything we're working on, but we'll let you know when that happens and when those come – when those finalize. But it's healthy. We're focused on it and it's a priority for us.
Adam R. Thalhimer - BB&T Capital Markets: Would you – are you going to preference either the smaller deals or larger deals at this point in the cycle?
J. Thomas Hill - Chairman, President & Chief Executive Officer: We'll – I think what we look at and what we concentrate is what fits us both large and small, what are – is unique synergies to us and making sure that we buy it for the right price and then we integrate it, so it's both.
Adam R. Thalhimer - BB&T Capital Markets: Okay. And then, also as we think about 2017 and the potential for DOT work to benefit from the FAST Act. Is there anything we should be aware of in terms of whether pricing on that work is lower or maybe the incremental margin opportunity on that work is less, maybe just some color on that would be helpful?
J. Thomas Hill - Chairman, President & Chief Executive Officer: Yeah. I think that the impact of DOT spending both state and federal coming to fruition, and shipments will only help pricing.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: And of course, not just – we'd always encourage you to focus – you and anybody, not just to focus on pricing, but overall margin performance. And that volume, that mix, that's good for our overall balance of price. The operating efficiencies, product mix, let's just say, we're looking forward to it.
Adam R. Thalhimer - BB&T Capital Markets: Great. Thank you very much.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Thank you.
Operator: We'll go next to Timna Tanners with Bank of America Merrill Lynch.
Timna Beth Tanners - Bank of America Merrill Lynch: Yeah. Hey. Good morning, guys.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Good morning.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Hey, Timna.
Timna Beth Tanners - Bank of America Merrill Lynch: These should be fairly quick. We've talked about a lot of these topics, but I just wanted to touch on 2017 because some of the independent forecast for non-residential construction have been tapering their enthusiasm into 2017. So is that just maybe excess enthusiasm on their part or is there something that you might be able to help us understand about tapering in 2017 activity, whether that be some of the big projects rolling off or anything else?
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Timna, honestly, we haven't given any guidance for 2017. So just with that qualification first, I think where we come back to in case it's helpful is what we see if you will on the ground. And the momentum that we're seeing overall as it relates to private construction and private non-res is – is largely unchanged. I mean, there are going to be specific geographic markets, for example, Houston, that with layoffs, et cetera, we keep an eye on. But in total, we still like the momentum we see, the breadth of the recovery, the breadth of the end markets, the higher levels of small commercial work that we see. So from our kind of humble on the ground view, the death of non-res has been announced prematurely.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Yeah. I think on the housing piece, the housing recovery still remains pretty modest compared to historical cycles. And most forecasters would expect it to continue to gain steam, so – and non-res will follow that.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: And the large project pipeline we have seen as it relates to larger industrial projects, still largely unchanged. So, again, we obviously keep a close eye on it. We haven't – we're ways away from anything that we consider 2017 guidance in our part. But what we do see, and we've talked about more for 2017 also, is just the beginning of the increase in public construction beginning to kick in, strengthening public demand, and we're kind of getting to the point in the cycle where that's beginning to kick in a bit more also.
Timna Beth Tanners - Bank of America Merrill Lynch: Okay. Great. The other question is about your high quality problem which is a very low dividend yield. And I understand that you just doubled your dividend, but I was just wondering if you could talk around the way you think about it philosophically, and is there a target yield, is there something that drives the way your board thinks about the dividend or the right level of it?
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Sure. I'll start. I think you're right, a high quality problem to have. First, we're focused again on balancing re-investment in the business, investment in growth, including the M&A opportunities that Tom discussed, and ongoing return on capital to shareholders. We think we have the financial flexibility and strength to balance those goals over time. We do not have a target dividend yield. And it's really a board decision as to revisit it, of course, periodically. We do think of it in the context of overall return of capital to shareholders and balancing those other objectives very much including growth. But we do not have a target dividend yield. We do expect our payout ratio over time will be roughly consistent with companies of our credit rating and size.
Timna Beth Tanners - Bank of America Merrill Lynch: Okay. Great. Thank you.
Operator: We'll go next to Keith Hughes of SunTrust.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Thank you. You don't have any more notes due until 2018, so how would you characterize the use of cash flow the next couple of years between acquisitions, debt pay-down and share repurchase?
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: Our capital allocation and cash usage priorities have really remained unchanged from prior communications. So just to briefly echo some of those, one, we have intentionally managed our balance sheet so that we have the kind of flexibility that you just mentioned. We will make the appropriate operating capital investments back in the business to maintain the value of our franchise. We do not expect to need to use cash to pay down debt. Obviously, we don't have maturities due in the near term, but we're comfortable with our current level of debt. We will continue to pursue growth opportunities aggressively, whether those are M&A related or, as we mentioned in our release and in our comments, whether they are internally driven growth opportunities, investments in new railyards, new quarry sites, the kind of things that we would do internally. We have several opportunities there. We – to the point the question just asked on the dividend, we would expect the dividend to grow roughly in line with our earnings for a while. We're very focused on the sustainability of that dividend throughout the entire cycle. And then as we said before, we will be opportunistic as we go forward and potentially using share repurchases or other means to return any excess cash to shareholders after those other priorities.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: In acquisitions, would those be in the current footprint, or are you willing to look outside the current footprint for the right opportunity?
J. Thomas Hill - Chairman, President & Chief Executive Officer: To answer your question, both, and we've done both. Some of our highest returns on capital are the bolt-ons because they complement your existing operations and they defend some of your existing – the operations. But we'll look outside of our footprint. I mean, we just did that with New Mexico over the last 18 months. But I think would we go outside our footprint, we would want to go in as a number one or number two producer, or a path to be number one or number two. So – but to answer your question, it's both.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Thank you.
Operator: We'll go next to Mike Betts with Jefferies.
Mike F. Betts - Jefferies International Ltd.: Thank you very much. I'd like to come back on the cost question please. And looking at the $0.68 per ton saving in Q1, I think that equates to about $27 million. You've kindly explained diesel's saving of $5 million or $6 million, and I think the R&M was an offset of about $3 million. So, I'm still missing a big number there, sort of $24 million, $25 million. Is that all operating leverage because the volume growth was so high or is there anything else there? That's kind of my first question. My second question, when we're looking at the full year in terms of costs, you highlighted the trailing 12-month flat cost. Is that a pretty decent assumption to make for the full year? Thank you.
J. Thomas Hill - Chairman, President & Chief Executive Officer: I think that to start with your first question, I think it's a combination of operating leverages and improved volumes and operating efficiencies on the variable side. So, it's a combination of both of them. There is a lot of volume leverage in that, but it's a combination of the two.
Mike F. Betts - Jefferies International Ltd.: Are there any one-offs in there?
J. Thomas Hill - Chairman, President & Chief Executive Officer: No.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: (50:19).
J. Thomas Hill - Chairman, President & Chief Executive Officer: Well, I think one of the things, timing of stripping, Mike, I would say maybe had some benefit of it that will – that's always comes in, get some stars, but it's not a whole lot.
Mike F. Betts - Jefferies International Ltd.: Okay.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: And, Mike, for the full-year outlook, we'll see. We're very focused, as Tom mentioned, on continuing to drive these operating efficiencies to control what we can control, to use Tom's words, and to leverage our cost of sales where we can. We'll see how it come out. There are a lot of moving pieces in the business like ours, but it's something we're very, very focused on.
Mike F. Betts - Jefferies International Ltd.: Okay. Thank you.
Operator: We'll go next to Stanley Elliott with Stifel.
Stanley Elliott - Stifel, Nicolaus & Co., Inc.: Hey, guys. Good morning. Question back on the cost side, at what point do you start to add more and more shifts, is this kind of more later in this year or into next year, and – or maybe think about it, can you meet the 9% sort of same-store sales growth on the existing head count maybe running a little bit of over time? Just, how do we think about adding shift work on a go-forward basis?
J. Thomas Hill - Chairman, President & Chief Executive Officer: Well, first of all, I wish we were running two shifts everywhere. I'm a little operator guy. And that – that's – life is good if that happens. I think that – but it's on a market-by-market, plant-by-plant basis. So for example, you've got – if you go to Texas, you've got plants that are running two shifts already. You go to some markets in our some of our Atlanta operations, they're running – they're not even running full shifts. So, it's such a local business and that is market-by-market. So there's not a broad-based statement. But I don't – overall, we'll do that a little bit at a time, but we're nowhere close in most markets to adding shifts. It's really adding hours or even adding a full shift on a – a full shift on a full plant, but we would love to have those problems.
Stanley Elliott - Stifel, Nicolaus & Co., Inc.: That's great news.
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: We also, Stanley, back to Mike's point, we're probably getting – with the breadth of the recovery, we're probably getting to a point where we have enough volume and more of our key facilities to begin to realize a little more operating leverage, leverage and fixed cost. Now, we're long ways away, and Tom, we discussed it from many kind of operating sweet spot, and we're even further away from production capacity. But one of the benefits to us of getting more volume and more places is that it helps on the fixed cost leverage.
Stanley Elliott - Stifel, Nicolaus & Co., Inc.: Yeah. And on the growth CapEx piece, I think it was like $125 million for Savannah and for the ships. I imagine the cost realization is pretty immediate when all this starts to flow through. But how should we think about that? Does that pick up more into next year, or is that even kind of more into – closer to 2018 when you start to see the cost savings from these investments really start to come through?
John R. McPherson - Executive Vice President, Chief Financial & Strategy Officer: I'll break it into two pieces for you. Think about – of the $275 million of operating and maintenance CapEx, for many of those investments, we begin to see operating efficiencies pretty darn quick if we are improving or right-sizing mobile equipment fleet, if we're replacing screens or otherwise improving our production processes at a plant level. We try and work those as best we can to have pretty quick return periods on those investments. For the $125 million, for the course of the year that we may spend on growth-related PP&E, it's really going to depend on the nature of the investment. These aren't long-term payoff things. These aren't things where you invest one year and you get the benefit 10 years down the road. But it's highly variable whether it's a new railyard or incremental reserve capacity at a quarry or whether it's a new ship, so it's hard to say on the growth capital.
Stanley Elliott - Stifel, Nicolaus & Co., Inc.: No. Fair enough. Great, guys, and congratulations.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Thank you.
Operator: That's all the time we have for questions. At this time, I would like to turn the call over to Mr. Tom Hill for any additional or closing remarks.
J. Thomas Hill - Chairman, President & Chief Executive Officer: Thank you. Thank you very much for your interest in Vulcan Materials Company, and we look forward to speaking with you throughout the quarter. Thank you.
Operator: Thank you. That does conclude our conference for today. We thank you for your participation.